Operator: Ladies and gentlemen, thank you for standing by. My name is Demi, and I'll be your conference operator today. At this time, I would like to welcome you to the Payoneer Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions] Thank you. I would now like to turn the call over to Michelle Wang. Please go ahead.
Michelle Wang: Thank you, operator. With me on today's call are Payoneer's Chief Executive Officer, John Caplan; and Payoneer's Chief Financial Officer, Bea Ordonez. Before we begin, I'd like to remind you that today's call may contain forward-looking statements, which are subject to risks and uncertainties. For more information, please refer to our filings with the SEC, which are available in the Investor Relations section of payoneer.com. Actual results may differ materially from any forward-looking statements we make today. These forward-looking statements speak only as of today, and the company does not assume any obligation or intent to update them, except as required by law. In addition, today's call may include non-GAAP measures. These measures should be considered in addition to and not instead of GAAP financial measures. Reconciliation to the nearest GAAP measure can be found in today's earnings materials, which are available on our website. Additionally, please note we have posted an earnings presentation supplement alongside our earnings press release on investor.payoneer.com. All comparisons made on today's call are on a year-over-year basis, unless otherwise noted. With that, I'd like to turn the call over to John to begin.
John Caplan: Good morning, everyone, and thank you for joining us. Payoneer is the financial operating system for Global Commerce. We have a 20-year head start building assets, network effects and brand that are highly differentiated and difficult to replicate. We have proven product market fit, deep global distribution and the payment and regulatory infrastructure to support profitable growth at scale. We are capturing share in a large and growing market and continue to strengthen our strategic advantages every quarter. First, Payoneer has global scale that eliminates the friction of growing cross-border. We processed over $87 billion in volume across 190 countries and territories in 2025. When a manufacturer in Vietnam pays a supplier in Mexico, when a business in India wants to sell on Japan's e-commerce marketplaces, or a software developer in Dubai invoices a client in Germany, we're there. Payoneer supports cross-border commerce across every SMB use case. Second, trust and safety built over decades. We are regulated in key markets around the world and have built robust compliance infrastructure based on years of experience navigating the challenges associated with cross-border payments, particularly those into and out of emerging markets. Third, we are driving growing profitability through discipline. We've increased adjusted EBITDA ex-interest from negative $25 million in 2023 to positive $40 million in 2025, while investing in innovation and strengthening our capabilities. We're entering 2026 with conviction around our margin expansion opportunity. We are orienting Payoneer towards an AI-first strategy, which will reshape our customer experience, operations and cost structure. The impact is tangible across every major function. Engineering is shipping code meaningfully faster. Our go-to-market team is using AI for scoring leads, improving funnel efficiency and increasing ROI. And in our customer support and compliance teams, AI agents are creating a flywheel effect, better customer outcomes, greater efficiency for our teams and a structurally lower cost base. Our leading position in cross-border B2B payments uniquely positions us as stablecoins and AI fundamentally reshape global money movement. We are the beneficiaries of this innovation and have the assets, scale and market position to capture outsized value. Before I dive into our record 2025 results, I'd like to spend a moment on our 2026 outlook. We plan to deliver significant core profitability expansion. We expect to more than double core adjusted EBITDA to $90 million at the midpoint. Revenue ex-interest of $900 million to $940 million represents 12% growth at the midpoint. This accounts for finishing the work we started in 2025 to optimize our checkout business and our customer portfolio. These actions are expected to reduce our 2026 revenue growth by approximately 300 basis points, but will lead to higher margins and a stronger, healthier customer portfolio. We plan to exit the year with mid-teens growth and mid-teens core margins. Now turning to our results. 2025 was a pivotal year for Payoneer. We increased the utility we provide to our customers, made deliberate choices about where to focus in a dynamic environment and executed and innovated with discipline. The results, they speak for themselves. We grew revenue ex-interest 14%. B2B revenue grew twice as fast at 28% as we take share from traditional financial institutions. B2B now represents 30% of our revenue ex-interest, up from 20% in 2023. We strengthened and expanded our ecosystem of enterprise relationships, including with Airbnb, Upwork, TikTok Live, Alibaba, Mercado Libre and Best Buy. 21% ARPU expansion ex-interest, driven by upmarket momentum and multiproduct adoption, 9 basis points of SMB take rate expansion, $7.9 billion of customer funds held in Payoneer accounts, up 13% year-over-year and outpacing volume growth. We have hedging strategies in place to reduce interest rate sensitivity. We have locked in a substantial portion of interest income for 2026, 2027 and 2028 regardless of the interest rate environment. We improved our unit economics and are driving meaningful efficiencies in our operations. Other operating expenses, which include customer onboarding, support and KYC costs were down 3% in 2025. While at the same time, we grew volume and revenue, mix shifted to more complex verticals such as B2B and added to our regulatory licenses. Total adjusted EBITDA of $272 million, a 26% margin was up year-over-year, as we unlocked substantial operating leverage and powered through a $25 million headwind from declining interest income. We delivered $40 million of adjusted EBITDA ex-interest, nearly triple versus 2024. We generated significant free cash flow of $146 million, representing nearly 200% free cash flow conversion. These aren't just great numbers. They reflect a healthy, strong business that is positioned for long-term value creation. We believe our current share price does not fully reflect the strength of our balance sheet, the durability of our cash flows, or our long-term growth opportunities, including those from Agentic Commerce and stablecoin. We've continued to align our capital allocation with our conviction in the intrinsic value of our business. In 2025, we stepped up our buybacks, repurchasing $175 million of shares, including $80 million in Q4 alone. We plan to continue buying our shares at or close to these levels. Since we began our transformation in 2023, we prioritized unlocking Payoneer's full potential with a sharp focus on profitability. At our inaugural Investor Day, we presented the first phase of our strategy and disclosed metrics that focused on "ideal customer profiles" customers that were profitable based on a simple minimum volume threshold. In the 2 years since, we have delivered meaningful impact. Today, we're proud to share that all customer cohorts are profitable. We've grown our ICP base by 8% and increased ARPU by more than 50%. We've delivered a 17% CAGR in our revenue ex-interest, and we've significantly expanded core profitability and demonstrated consistent 25% adjusted EBITDA margins in the declining interest rate environment. We're now entering the next stage of our transformation. We're moving further upmarket to focus on larger, more sophisticated customers. Customers receiving tens of thousands, or even hundreds of thousands of dollars a month on Payoneer's platform are generally scaled, often multi-entity, multi-geography businesses. These businesses have proven business models, complex cross-border needs and potential for significant wallet share expansion. They also demonstrate significantly higher ARPU, retention and product adoption characteristics. We have strong product market fit and proven ability to serve these businesses. For example, Customers with $600,000 or more of annual average volume in their Payoneer account now represent 42% of our revenue, and they were our fastest-growing segment in 2025, driving 60% of our overall growth. The UAE is a great example of a region where our upmarket strategy is taking hold. The city of Dubai is 1 of 5 major global business hubs. Its economy is projected to double over the next decade, driven by service exports and 20,000 foreign-owned companies registered there in 2025 alone. Payoneer is successfully acquiring and serving these cross-border businesses, which is driving our strong results. Our business from customers in the UAE generated over $1 billion in volume and $15 million of revenue in 2025. Revenue is growing nearly 50% year-over-year, driven by large IT and digital marketing agencies. To support our upmarket strategy, we are making targeted investments to expand and enhance our value prop. For example, we recently launched expanded capabilities in Mexico and Indonesia. We plan to expand our product offerings in India, the world's fastest-growing large economy, supported by our recent in-principle license authorization. We recently acquired Boundless, which deepens our workforce management capabilities for global teams. And we're adding more partners to expand working capital and credit solutions, enabling customers to access the capital they need to invest in inventory, marketing and expansion. We will press our near-term advantages and make bold bets to position ourselves at the center of ongoing innovation in the payment space. One of these big bets is stablecoin. We believe Payoneer is uniquely positioned to bridge traditional finance and blockchain-based payments. Here's why. We have world-class last mile infrastructure in emerging markets, supported by the robust and complex regulatory framework necessary to operate compliantly at scale. We have deep compliance expertise to onboard and support customers in markets that are complex to serve. We have long-standing trusted relationships with millions of cross-border SMBs around the world. We are partnering with Bridge, a Stripe company to launch stablecoin capabilities. We launched a wait list a few weeks ago and have brought our first customers live. What's most exciting about this is that stablecoin is TAM expanding for Payoneer. We are seeing meaningful interest from larger scaled businesses that fit the upmarket profile we're pursuing, and we are seeing new customers come to Payoneer for these features across a diverse set of markets and industries. As part of our broader stablecoin strategy, we have also just this week applied to establish an uninsured national trust bank in the United States. We expect this will enable Payoneer to seamlessly integrate stablecoin capabilities within our broader ecosystem. We plan to unlock utility for our customers, remove complexity and barriers to entry and open up additional addressable markets for a new breed of digitally native global businesses. We are on a multiyear journey to position Payoneer as a category-defining company in cross-border commerce. We have demonstrated that we have the right team, a strong position in the market and a track record of successful execution. I'm proud of our team, grateful to our customers and excited for our future. Thank you all for your confidence and support of Payoneer. I'll now turn it over to Bea to discuss our financial results and 2026 guidance in more detail.
Bea Ordonez: Thank you, John, and thank you all for joining the call today. Payoneer's full year results, mid-teens growth, 26% adjusted EBITDA margin and significant cash flow generation demonstrate the strength of our business. We are delivering profitable growth, optimizing transaction cost economics, unlocking meaningful leverage and making investments to position our business for sustained long-term growth while returning capital to our shareholders. Turning to our fourth quarter results. We delivered record quarterly revenue of $275 million, with revenue, excluding interest income, up 9%, driven primarily by strong and accelerating growth in our B2B franchise and the ongoing implementation of our pricing strategy. ARPU increased 15% in the quarter as we continue to focus our efforts on larger customers and drive increased adoption of higher-yielding products. ARPU, excluding interest income, was up 21%, marking our sixth consecutive quarter of 20% plus expansion. Total volume grew 10% year-over-year, reflecting strong enterprise payouts volumes with SMB volumes growing by 5%. Volume from SMBs that sell on marketplaces was up 1%. We saw an acceleration in marketplace volumes intra-quarter and mid-single-digit volume growth during the holiday season, in line with broader industry trends. Fourth quarter B2B volume growth of 21% accelerated significantly sequentially, led by strong acquisition and ramp-up of large customers, especially in China, Asia Pacific and EMEA. Our B2B franchise accounted for 30% of our revenue, excluding interest income in the fourth quarter, and we are confident that we can continue to deliver strong growth as we penetrate this massive market. During 2025, we saw strong and accelerating growth in enterprise payout volumes. Full year enterprise payout volumes grew 17% with growth reaching 27% in the fourth quarter. As John noted, this strong growth was driven by both expanding and deepening relationships with existing clients and from onboarding new enterprise clients, including Airbnb, TikTok Live and Best Buy, among others. Enterprise customers value our global scale and reach, the security of our platform and our extensive payout network. For example, we recently renewed our relationship with Upwork, which has been an important partner for us for over 15 years. Together, we will continue to support the ambitions of entrepreneurs globally, and we are actively exploring stablecoin payout solutions together, reflecting our commitment to innovation and to investing in the future of money movement. Given strong momentum in 2025 and our current pipeline, we believe we are well positioned to continue driving strong enterprise payout volume growth in 2026. Our Q4 SMB take rate of 113 basis points was up approximately 4 basis points year-over-year as we continue to drive faster growth in higher take rate areas of the business and from the ongoing execution of our pricing strategy. Customer funds increased 13% year-over-year to $7.9 billion, partially offsetting the impact of lower interest rates on our interest income revenue. We generated interest income of $56 million in the quarter. Customer funds grew at a substantially higher rate than SMB volumes in 2025, a direct reflection of the trust customers place in our platform and of the utility we provide through our multicurrency accounts receivable and accounts payable capabilities. We have developed and implemented a robust interest rate hedging program designed to secure portions of our interest income as interest rates, especially in the U.S., continue to decline. As of December 31, 2025, we had hedges in place related to approximately $4 billion or 51% of customer funds through our portfolio of treasury securities and term deposits and through derivative instruments. Through these programs, we have secured over $130 million of interest income in 2026, over $110 million in 2027 and over $90 million in 2028, irrespective of the direction of short-term interest rates. We plan to lock in additional amounts through reinvestment as the portfolio runs off, providing a durable revenue stream. On a go-forward basis, our expectation remains that balances should broadly grow in line with volumes over time, while balance behavior is, of course, impacted by a range of factors, including customer usage behavior, the global macro environment and prevailing interest and FX rates. Total operating expenses of $246 million increased 6%, primarily driven by increases in IT and communication expenses and labor-related expenses, including from the impact of our EasyLink acquisition in China. Transaction costs of $43 million were roughly flat year-over-year despite a 9% growth in revenue, excluding interest income, primarily from greater operational efficiency and from the impact of the new agreement we signed with Mastercard in July. Transaction costs represented 15.6% of revenue, a decrease of around 90 basis points year-over-year, even with the impact of lower interest income. Excluding interest income, transaction costs represented 19.6% of revenue, a decrease of approximately 180 basis points reflecting the improving profitability and margin characteristics of our portfolio. Sales and marketing expense increased $5 million or 8%, primarily due to a higher labor-related costs and increased incentives related to our card offering. G&A expense increased $5 million or 15%, primarily due to higher labor-related costs, including from our EasyLink acquisition, higher facilities costs related to our offices in Israel and higher IT and communication costs. R&D expense was roughly flat, while other operating expenses decreased by $3 million or 6%, primarily due to lower consulting fees and lower labor and related expenses. Adjusted EBITDA was $69 million, representing a 25% adjusted EBITDA margin in the quarter. Adjusted EBITDA, excluding interest income, was $13 million, a five-fold increase versus the prior year period. For full year 2025, we generated $40 million in adjusted EBITDA, excluding interest income, nearly 3x the 2024 number. We are unlocking meaningful leverage through our increased scale, the deepening of key strategic relationships and ongoing efficiency and cost discipline. Net income was $19 million compared to $18 million in the fourth quarter of last year. Basic and diluted earnings per share were both $0.05, in line with the prior year period. We ended the quarter with cash and cash equivalents of $416 million. For full year 2025, we generated significant free cash flow of $146 million, nearly 200% of our reported net income, enabling us to both invest in our business and return capital to shareholders. Additionally, in January 2026, we announced the acquisition of Boundless, an Ireland-based employer of record platform for approximately $13 million plus earn-out provisions amounting to up to $4 million. During the quarter, we repurchased approximately $80 million of shares at a weighted average price of $5.76, a significant acceleration from the third quarter. And as of December 31, had approximately $192 million remaining on our current share repurchase authorization. Turning to our 2026 guidance. Our 2026 guidance reflects our confidence in continuing to drive strong growth in our SMB franchise and in our ability to unlock substantial and sustained leverage in our business model. We expect revenue to be between $1,090 million and $1,130 million with $190 million of interest income and revenue, excluding interest income between $900 million and $940 million. We expect core revenue growth of 12% at the midpoint. As John highlighted, we are taking deliberate actions in 2026 to move our business upmarket and to deliver sustainable higher-margin growth. Our core revenue guidance includes an approximately 300 basis point headwind to our growth rate, reflecting anticipated churn related to our transition to Stripe's Checkout solution as well as from changes to our acquisition focus and onboarding flows. We have been migrating our Checkout offering to the new Stripe solution over the past 6 months and are pleased with our progress and the expanded capabilities our customers can now access. We expect the transition to be accretive to both revenue less transaction costs and adjusted EBITDA in 2026 and that this new partnership construct should continue to deliver more favorable yield and margin dynamics as we scale. We expect to accelerate our revenue ex interest growth over the course of 2026 as we execute on our upmarket strategy, optimize our portfolio, realize the full quarter impact of pricing initiatives rolling out throughout the year and lap tougher comps, including with respect to the timing of tariff impact. We expect high single-digit growth in the first half of the year, increasing sequentially in the second half to exit the year at a mid-teens growth rate. We expect to drive significant incremental profitability as we focus on portfolio health, customer mix and expense discipline. We believe this focus, along with the investments we are making to drive long-term profitable growth, position us to deliver mid-teens growth rate in 2027 and beyond and ongoing expansion in our profitability, excluding interest income. Our 2026 guidance at the midpoint assumes high teens B2B volume growth, mid-single-digit growth in volume from SMBs that sell on marketplaces and mid-teens enterprise payout volume growth. We expect transaction costs to be approximately 15% of revenue, down 70 basis points year-over-year from the impact of ongoing optimization in our bank and processor network, including our renewed agreement with Mastercard and from the migration of our checkout portfolio to the Stripe solution. We expect revenue less transaction costs to grow faster than revenues, even including the impact of a $42 million decrease in interest income. Our guidance for adjusted OpEx, which represents revenue less transaction costs and adjusted EBITDA is approximately $660 million at the midpoint, a 7% increase year-over-year. At constant currency, we expect adjusted OpEx to grow roughly 4% year-over-year, significantly lower than our growth in revenue, excluding interest income. This reflects our focus on increasing the profitability of our core business from investments in our platform, including in Agentic AI-driven solutions and from further diversifying the distribution of our labor footprint, including by increasing our presence in India. We are strategically moving the company towards an AI-first strategy in 2026, to drive step function efficiency gains across our entire ecosystem. Agentic models are being deployed to increase product delivery velocity, improve our customer experience, drive go-to-market ROI and reduce resource-heavy workflows, particularly in customer support and compliance. We opened a new technology hub in Gurgaon, India in 2025, building on our existing presence in the world's fastest-growing major economy and allowing us to access India's deep technology expertise. We are also expanding our operations and compliance hub in Bangalore, India. Our 2026 OpEx plan also include meaningful investments related to our stablecoin offerings and our bank charter application, which, if approved, we expect further position us for sustained long-term growth. We expect adjusted EBITDA to be between $275 million and $285 million, an approximately 25% margin and an increase of around $8 million year-over-year despite an estimated headwind of approximately $42 million in interest income. Excluding interest income, we expect to deliver adjusted EBITDA of between $85 million and $95 million, more than twice the 2025 level and achieving a double-digit margin for the first time as a public company. Also for the first time as a public company, we expect adjusted EBITDA, excluding interest income to be positive even when fully burdened for stock-based compensation. We expect adjusted EBITDA ex interest income will meaningfully scale over the course of the year as we fully lap the impact of tariff policy changes introduced in the second quarter of 2025 as we continue to scale our B2B franchise and as we lap near-term headwinds from our checkout migration and other portfolio actions. We also expect our overall adjusted EBITDA margin will increase sequentially throughout the year. Payoneer enables cross-border global commerce at scale, and our business benefits from the ongoing globalization and digitization of commerce. We remain focused on supporting and serving the third-party sellers that are critical to e-commerce marketplaces and on further penetrating the massive cross-border B2B segment. We are making meaningful investments in our platform, including in our money movement capabilities and in our regulated infrastructure. We are shifting our business towards a higher quality, healthier and more sustainable portfolio and unlocking significant leverage in our core business. We believe that, our current market valuation represents a significant discount to the intrinsic value of our company. Beginning in the fourth quarter of 2025, we significantly accelerated the pace of our share repurchase program. In the fourth quarter, we repurchased approximately $80 million worth of shares and assuming fairly comparable stock price levels to today, would expect to use the entirety of our remaining $192 million in repurchase authorization in 2026. 2025 was a record year for Payoneer. We drove strong profitable growth in a dynamic macro environment, unlocked significant leverage in our core business and made important investments to strengthen our franchise. We are now happy to answer any questions you may have. Operator, please open the line.
Operator: [Operator Instructions] Your first question comes from the line of Cris Kennedy with William Blair.
Cristopher Kennedy: As you move upmarket, what metrics should we follow or what KPIs should we track to see the progress as you make that strategy? Because we know your segment disclosures will be changing.
John Caplan: Yes. Cris, great question. And I think the way I think about it and the team here thinks about it is we have a really strong business upmarket. In Q4 of '25, the customers that did over $50,000 accounted for 42% of our revenue, up 10 percentage points versus the first quarter of 2022. So we have a very healthy and strong upmarket business, and we see really solid product adoption, more average volume per customer and very strong ARPU. And we will continue to share with our shareholders the ARPU growth, the traction we have, cross-selling products and our volume per customer growth.
Cristopher Kennedy: Okay. Understood. And then real quickly on the profitability, core profitability, clearly, you're making progress there. Can you talk about the long-term opportunity to expand margins on that metric?
Bea Ordonez: Yes. Thanks for the question, Cris. Yes, look, we're really focused on expanding the ex-interest profitability in the business. Our guidance at the midpoint calls for $90 million of core adjusted EBITDA before interest income, and that's more than 2x what we delivered in the prior year. So significant leverage unlock. We're growing our top line. We're increasing our margins, including the margins we get from our transaction-based business, and we're improving the profitability and long-term health of the portfolio. All of that is showing up in those metrics, and we feel confident that we can continue to deliver that kind of unlock. We talked a little bit about the AI-first strategy that we're deploying. So as I look out beyond 2026, we feel really good about our ability to continue to unlock leverage in the business.
Operator: Your next question comes from the line of Nate Svensson with Deutsche Bank.
Christopher Svensson: Hoping you could talk a little bit more about the trends in the marketplace business. So volume growth did decelerate a bit, but you did call out an acceleration intra-quarter, I think, to mid-single digits. And I know a lot of folks out there try to track some of the larger third-party marketplace data as a proxy for your business here. I know that's an apples-to-oranges comparison. But nonetheless, I would love to hear about trends on what you saw in marketplace and kind of how you expect that to play out in '26 to get to the mid-single-digit volume guide for the year.
Bea Ordonez: Yes. Thanks for the question, Nate. So look, we had called out back in November when we reported Q3 that we were seeing slightly softer October marketplace volume. We indicated thereafter that we were seeing similar trends in November. So what we saw is more or less in line with the expectations. We actually saw a strong holiday season, right, back end of November and into December, mid-single-digit marketplace volume growth in December, which look, to your point around sort of apples to oranges as we look to the broader holiday spending trends is in line with those broader trends at mid-single digit. And we've seen modest acceleration in that marketplace volume coming into January and February. So look, again, last year was a pretty dynamic environment. I think we saw the impact in sort of late Q3 and into Q4 of tariffs. We're seeing modest acceleration coming into the year. Our franchise is strong, and we feel good about continuing to accelerate off of this baseline.
Christopher Svensson: That's helpful. And nice to hear the January and February commentary. I guess, just the follow-up question, just more broadly on the 2026 guide. So it's nice to hear that you're expecting to accelerate through the year, exit at mid-teens. I know, you mentioned some of the lapping impacts, the transition from optimizing checkout, customer portfolio, all that stuff. But I think like the big question that I have, and I'm getting this morning is just on the confidence and visibility in that core trends in the business. Again, you mentioned the lapping impacts and the other initiatives. But really just more color on your confidence visibility into getting us to a mid-teens exit rate as we leave 2026.
Bea Ordonez: Yes. Thanks for the question. So look, we've called for high single-digit core revenue growth in the front half of the year, accelerating to exit in those mid-teens. A few factors give us confidence there and are driving that acceleration. One, and I think maybe foremost, we're seeing significant acceleration in our B2B business. That was -- that grew 21% in volume terms in Q4. So we're seeing really nice momentum in that business. It grew intra-quarter and good momentum coming into the year from really everything you heard in the prepared remarks, our focus on high-value customers, getting more focused on new and differentiated acquisition motions. The ongoing acceleration in our enterprise business as we continue to ramp up new partners. We talked about some of those names, some of those logos on the call. That's driving some of that. The benefits in the back half of the year of some of the pricing strategies that we continue to roll out, largely targeted at the long tail. John talked a little bit on the call. around how we look at that portfolio overall. And then finally, as we noted, really just lapping, if you like, the headwinds and getting to the back half of the year, lapping that tariff impact and some of the headwinds that we talked about in terms of the portfolio actions we're taking, including the transition to Stripe, and that transition is more front-end loaded. So a long list of things, but a carefully sort of worked out view on how we accelerate the business throughout the year.
Operator: Next question comes from the line of Sanjay Sakhrani with KBW.
Sanjay Sakhrani: Maybe you guys could talk a little bit about sort of the opportunity for the bank and sort of how you see that unfolding for yourselves and maybe just the time line from here?
Bea Ordonez: Yes. Thanks for that question, Sanjay. Look, we're really excited about the momentum in this space. As we called out, this is a strategic investment, both rolling out capabilities with Bridge in terms of stablecoin capabilities, and our bank charter application. We think that positions us at the center of really ongoing innovation in the payment space. And so we've made those announcements over the last couple of weeks. We've been hard at work across a range of work streams, including launching those capabilities. In terms of the bank charter, it really allows us to do a few things, right? It allows us to be able to issue and manage reserves in a compliant infrastructure in support of stablecoins. It allows us down the line to custody should we choose to do so. But ultimately, it does what Payoneer does as a part of our core value proposition, right? It brings these digital currencies into a regulated and trusted ecosystem and one where we can seamlessly integrate into the fiat rails and the existing fiat ecosystem that we already operate for our customers. So think of it as a step within that broader strategy. We're really excited. We're working hard, and we really do think it positions us at the center of innovation in the cross-border payment space.
Sanjay Sakhrani: Okay. Great. And maybe just like a 2-part question on some of the questions that were asked before. But that 300 basis point headwind, sort of is that the final piece? And then we no longer have any sort of impact from transitioning the customer base or any of the services? And then secondly, just as we think about these tariffs and the start and start and changes in policy, I'm curious how you think that affects your business and sort of the marketplaces.
Bea Ordonez: Yes, happy to take the first part. So yes, we called out that headwind to provide that disclosure, and it's really 2 elements. One, it's the transition to the Stripe solution. And we called out high single-digit million headwind to revenue in '26. we're very comfortable with that headwind, right? We've talked about this solution. It delivers best-in-class capabilities to our customers and ultimately, higher-yielding, better margin portfolio dynamics. So that is part of it. The other actions are really sort of in line with what we've talked about shifting to a healthier portfolio, and we're comfortable that we leave those behind as we exit 2026. Again, moving towards that larger portfolio of customers, lower risk portfolio that really gives us confidence to build sustainably at that mid-teens growth.
John Caplan: And just on the tariffs, I think we are very confident that actually the shifting tariff landscape actually presents a real opportunity for Payoneer. And I think, it's driven by our global presence, a, and our ability to capture those shifting trade flows as Chinese sellers and Chinese merchants globalize their focus on distribution, they're increasingly turning to Payoneer as their financial operating system. The uncertainty in 2025 with the stop-start nature of the tariffs caused sellers to have to try to stop and start, frankly. But now that we begin to see normalization, obviously, the Supreme Court last week creates a little bit more uncertainty. But I imagine heading into the April meeting that with President Trump and Chairman Xi, we should ultimately see clarity and certainty, which will be a tailwind for Payoneer long term.
Operator: And there are no further questions at this time. I will turn the call back over to John Caplan for closing remarks.
John Caplan: Thank you, and thank you, everybody, for joining us today and for your participation this morning. We delivered record results in 2025, and we're excited about the significant opportunities for us in '26 and beyond. I want to thank our team globally for their hard work, commitment to our customers, to one another, to our shareholders, and we look forward to speaking with you again in May. Thanks, everybody.
Operator: This concludes today's call. Thank you all for joining, and you may now disconnect.